Operator: Welcome to the Gran Colombia Gold Q4 2020 and Year-End Results Webcast. My name is John and I will be your operator for today’s call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session.,  Please note, the conference is being recorded. And I will now turn the call over to Mike Davies.
Mike Davies: Thank you, John. That’s great. Good morning, and thank you for joining us today for the Gran Colombia Gold fourth quarter and fiscal year 2020 results webcast. With me on the webcast this morning is our CEO, Lombardo Paredes. And as is customary, I will first go through our prepared remarks regarding our update on our performance in 2020 and then Lombardo will be available as we open things up for the Q&A session. Before we proceed with the presentation this morning, I would first like to draw your attention to the legal disclaimer regarding forward-looking statements that maybe made by us during the webcast today.
Mike Davies: All right. Well, in that case, I’d like to, again, thank you again for joining us this morning. We are available, if you’d like to give us a shout-out or send us an e-mail to follow-up on any questions you’d like to deal with on a one-on-one basis. Stay tuned. In another few weeks, we’ll be very quickly releasing our Q1 results. In a couple of weeks, we’ll be releasing production for the first quarter. The next dividend takes place on April 15. And at the end of this month, we’ve got amortization payment for the gold notes, followed by the early redemption of the $10 million of gold notes. So lots of news and catalysts coming forward in our story, and we think this is going to be a very exciting year for Gran Colombia and its shareholders. So thank you for taking the time today.
Operator: Thank you, ladies and gentlemen. That concludes today’s conference. Thank you for participating and you may now disconnect.